Operator: Good day and thank you for standing by. Welcome to International Game Technology, Q2 '21 Earnings Call. At this time all participants are in a listen only mode.  I would now like to hand the conference over to your speaker today, James Hurley, Senior Vice President of Investor Relations. Please go ahead, sir.
James Hurley: Thank you. And thank you all for joining us on IGT second quarter 2021 conference call, which is hosted by Marco Sala, our Chief Executive Officer, and Max Chiara, our Chief Financial Officer. We are presenting results from multiple locations. So, please bear with us if we encounter any technical difficulties.
Marco Sala: Thank you, Jim and hello to everyone. The impressive second quarter results we are reporting today highlight the vitality of our portfolio. Outstanding lottery performance or the progressive recovery in land based gaming and a strong increase in digital embedding activities drove our revenues up more than 70%. Profit growth was even stronger, adjusted EBITDA of $442 million was over 2.5 times the prior year  and among the highest that we have ever recorded in a quarterly period. In addition to the natural operating leverage in lottery, structural cost reductions from our Optima program contributed to improve global gaming performance, which returned to positive operating income in the quarter.  In the first six months of the year, we generated a $380 million of free cash flow, a record level for a first half period. Our focus on executing with excellence is grounded in good corporate citizenship. We recently published the 14th annual sustainability report and improving the quality of the information we disclose about the sustainable activities and solution we have in place across the company. Highlighted in the report are our efforts at the diversity and inclusion, which have been recognized the further scope and impact. We firmly believe our dedication to well being and developing of our employees and high standards of corporate citizenship creates a value for our stakeholders throughout the world.  The value is tangible in our strong first half results, enabling us to raise expectation for 2021. At this time, we now expect to exceed 2019 levels for key financial metrics this year. This is an important achievement considering the impact of the pandemic as I said on the global gaming industry, it validates the unique attributes of IGT portfolio and the dedication of the IGT team around the world while I want to thank for their resilience, responsibility, and good corporate citizenship.
Max Chiara : Thank you, Marco and hello to everyone. Like last call, I will be primarily speaking to continuing operations in this presentation due to the sale of our Italy B2C Gaming business which closed in May. Before doing that I want to highlight where we stand on our recovery path to pre pandemic levels.  Q2 was another outstanding quarter from both an operating and financial perspective, as we see markets across our industries recovering at a faster pace than originally expected. This combined with our cost savings initiatives being well ahead of plan drove the outstanding results we are reporting today. And importantly, we have accelerated the pace of our cash generation, allowing us to return to pre pandemic leverage six months ahead of our target. The details of our results continued to showcase the unique strength of the IGT portfolio.  Year-to-date net income improved by over $1 billion from the prior year period and we generated $194 in earnings per share. This increase was a result of three main drivers, sustained improvement in operating profitability. The capital gain recorded on the sale of our discontinued operations and an impairment charge in the second quarter of last year that was triggered by the beginning of the pandemic downturn.  On the next Slide number 11. You can see that our results were impressive across all key financial metrics. During the second quarter IGT generated over $1 billion in revenue, $244 million in operating income and $442 million in adjusted EBITDA. Revenue grew over 70% from the prior year and while EBITDA was up 170%. Like last quarter, we can see the impressive operational leverage of our lottery business and the benefit of structural cost saving sections. We achieved over two thirds of our $200 million Optima savings target versus 2019 by the end of the second quarter, having accomplished over 70% of our product simplification and margin improvement efforts. The operational excellence piece is driven by the pace of the gaming recovery. And we expect to benefit more from the savings in the second half of the year. 
Operator:  Your first question comes from the line of Carlo Santarelli of Deutsche Bank. Your line is open. 
Carlo Santarelli: Hey, everybody, good morning. If you guys wouldn't mind just kind of as you think about a lottery business and the expectation for the back half of the year. And obviously the growth rates, which are lower than what you've experienced in the first half, but provide  some color on the 3Q. So my question really is, is there anything that you're seeing in the current trends that is materially different than what you've been experiencing here over the last several months? Or is it just more of a comp stack issue that that kind of has that that growth decelerating from what you experienced in the 2Q?
Marco Sala : Good morning Carlo its Marco. This is a good question. I think the good news is that as we said that during our remarks, our expectation is to grow in the second half of the year to grow single digit against last year that by the way, was growing overall in 8% to 9% versus ‘19. And to be up low double digit compared to the second half of ‘19. So what are we are experiencing is some stickiness of player. As at what the higher level of consumption they have experienced during the pandemic, we have seen that this business benefited from the lack of other entertainment options in Italy more specifically benefited from the closure of the gaming goals and this for betting shops. But what we are seeing that even after the reopening, we have a quite a good performance, especially of scratch tickets in Italy.  That is a summary of firming  of what the consumer result is were telling Gaza , that players overall appreciated very much the portfolio of lottery games, they enjoyed it and they are stating that they will have an average consumption higher than what they had pre pandemic. From that level, I guess that we will get back and going forward to more secular trends, but from a level of personal consumption.
Carlo Santarelli: Great, that's super helpful. Thank you. If I could just ask one more, as it pertains to your capital return philosophy at this point with leverage, what are your latest thoughts? 
Max Chiara: Hi, Carlo this is Max speaking. So as we are approaching our four times, leverage goalpost obviously we have accelerated our strategic thinking around the next phase of our posture is,  the capital allocation priorities. And again, in front of our investor day coming up in November, I will not preempt our thinking right now. The only thing I want to tell you is that we are right now we're gravitating towards moving to a range of leverage ratios that we would look into, to maintain over the full cycle. And as you know, for us cycle means years of low upfront fees payments versus years of higher upfront fee payments, which as you know, they may be coming to fruition in a couple of years out. So that's where we currently sit in terms of our high level thinking. And I will defer to the investor day to more precise answer. But again, we're very happy that we are able to get closer to that four times faster than we originally anticipated.
Marco Sala : To complete it, the next year, we do not have a major upfront fees. So the good news is that we are generating a strong cash flow but the major capital required for the biggest contrast of our portfolio will start in 2025.
Carlo Santarelli: Great, thank you, Marco, thanks for the clarity on that. I appreciate it. 
Operator: Your next question comes from the line of Chad Beynon of McQuarrie, your line is open. 
Chad Beynon: Hi, thanks for taking my question and congrats on the results. Max, you noted that you guys plan to be back to gaming levels in the fourth quarter of 2021, as you saw in the fourth quarter of 2019. Could you just expand a little bit in terms of if you were thinking revenues, or EBITDA? And then related to that, how are you thinking about some of the more cyclical items like product sales, and how operators plan to purchase slot machines? How that's trending? Thank you.
Max Chiara: Yeah, so first of all clarification. That comment was made in regard to the service recurring revenue business portion, which we expect to continue to improve quarter after quarter. And right now we see potentially Q4 of '21, seeing a trend in the service parts of the business similar to what we were left with at the end of ‘19 pre pandemic. On the product sales side is going to be much longer curve to get back to the ‘19 levels. We probably will need to see a full year of development. We have started to see some of the operators willing to come back at the table. But we're still in the very early innings for that dynamic to really take hold and allow us to bring back product sales to the level of 2019, which we don't anticipate, until probably late ‘22, or ‘23. 
Marco Sala : If I can elaborate on it to the sentiment of operators is becoming more and more positive. Now to end we will see a progression in terms of prophecies over the next quarters. As a correctly, Max said, it will take next year to recover the pre pandemic level button. If you talk about the sentiment, definitely the sentiment has changed. The GGR operators are experiencing, are making them more relaxed in discussing about capital expenditure for the next month. One thing is to discuss about it and one thing is to cut deals. But it's already a very good news and I'm rather excited about the possible accelerated velocity in terms of product, again, not reaching the priority or level. But if we elaborate on the second quarter, it was in North America 11% below 19. So this is, I think, a good a point.
Chad Beynon: Perfect. Thanks, Marco. And then regarding ilottery, you noted your new cloud based technology that you'll be rolling out in Georgia. Can you talk about just the overall ilottery education process with state legislators in the US? If they're better understanding the benefits and the technology that comes with this and if you still believe that the markets could double in the near term, just any update from a legislative standpoint?
Marco Sala : No, I think definitely that the market can grow and can double in the foreseeable future. We see that there are legislation authorizing ilottery just approved in Arizona and Connecticut. And but what I think is that the jurisdictions there when they will, seeing that the importance of ilottery in the other jurisdictions that have already regulated, they will get more motivation out of it. I give you an example. For example, for among the jurisdictions that are already ilottery, we were talking about the importance of an  in ilottery to drive the growth of the business.  And, for example, our customers in Kentucky and Georgia now has decided to increase the payout of the new products because they realize they can grow faster. I give these as an example of the motivation of the jurisdictions regarding these segments that, by the way, is getting the consumer attention. And we are working a lot on our portfolio in order as I said in previous calls, investing in talent, in technology and contents, and the next generation platform you have reference is a good example. As well as with all the investments that we are doing in content in order to strengthen our offering and to be prepared for when other jurisdictions will regulated the space that in my opinion definitely will happen over the next years.
Chad Beynon:  appreciate it. 
Operator: Your next question comes from the line of Barry Jonas of Truist Securities. Your line is open. 
Barry Jonas: Great, thank you. Hi, guys. We're seeing increased COVID cases and restrictions from the Delta variant. Aside from the comments you gave around Italy, I'm wondering if you've seen or maybe would you expect any other positive or negative impacts to your businesses?
Marco Sala : Thank you, Barry and good morning. Regarding the Delta variant unfortunately, we are all experiencing an increased number of cases when it comes to the consequences to our business. Let's focus on gaming because we have seen that lottery has been rather resilient, I would say, more than resilient as a matter of fact, we got traction out of the overall situation digital benefited out to be gaming. Regarding gaming, we expect that we do not expect that these giants are closing measures in Europe and you were referring to Italy The only debate we have here in Italy is regarding the fact of showing what we call green pass that is a document that says that you got the two level of vaccinations or an alternative that you have to demonstrate that you have been successfully tested the 48 hours before entering a gaming goal. Regarding what we see in the United States, the only measure that for the time being we are seeing is in Nevada in several other jurisdictions request, for players that wear the face mask. So all in all, I do not see that at this stage, we should see something truly warring regarding the gaming business, but we are in the stage where we have put together look at the evolution. But I do not see in the government's attitude, the approach to get back to lock downs.
Barry Jonas: Great appreciate that. Marco and just as for my follow up question, scientific games just announced they're selling their lottery and sports betting business. Got a few questions concerning that as a relates to IGT. So I guess first, how meaningful is bundling across your business lines? And two, is selling off any part of the company something you would consider exploring if the price was right.
Marco Sala : This is a very good question. Overall I think we have a consistent portfolio to start with our businesses are focus on delivering content and solution to  are regulated the real gaming market and this is in my opinion, what binds them together. And we are focused on serving governments and licensed private operators as a B2B provider. And this role can expand that to comprise a full house lottery operation where appropriate. This is just to say that we see a consistency of our portfolio and by the way, each business in our portfolio is profitable, and there's a good growth perspective, it will generate strong cash flow, enabling a significant leverage in the next years. Having said that, our new organizational structure gives us more flexibility to evaluate value creating portfolio initiatives if compelling opportunities materialize.  And by the way, just to give a little bit more flavor only to talking about the portfolio flexibility, I should add as we did in the previous call that we are considering the possibility of creating a digital segment going forward the performance will be maintained at this level. So I think, I tried to provide you what where we feel we are and but also providing the sense of our flexibility going forward.
Barry Jonas: Great, thank you, Marco. Thanks, guys. 
Operator: All right. So next question comes from the line of David Katz of Jeffery, your line is open.
David Katz: Good morning, everyone. Thanks for taking my questions. I wanted to just go back to the discussion about lottery demand and lottery sales levels in the back half of the year. And how much of that is predicated on the reopening of land based halls? And I suppose I'm wondering, you know whether that reopening getting pushed out on a little bit of COVID resurgence would prospectively, you know drive upside to what you're guiding today. If that were to occur, you know how much of it is land based, open or closed driven.
Marco Sala : Now, we are talking about land base and providing these figures. I can tell you that now the situation of the reopening in our main geographies is not included in our outlook, because we were considering all of the gaming alternatives and in general the entertainment, alternative options up and running. So the performance you offer  for the second half of the year is based on all reopening, I do not expect that the measures I was commenting regarding the resurgence of the delta variance of COVID will influence very much, the lottery at this juncture.
David Katz: Okay, perfect. Thank you. And as my follow up with respect to the premium, or the US installed base, in particular, we've been sort of looking for that base to be flat and maybe even start to go up over time. Just how are you thinking about kind of the addition of units there and the yield that they generate and is it reasonable for us to expect at some point that the US installed base would flatten or even turn up at some point in the near term?
Marco Sala : I think, first of all, as we were saying in our prepared remarks, things are progressing quite positively, because now the active view is above 90% and the yield are truly very strong, and they are getting stronger notwithstanding the increased number of active units. Regarding your question, our goal is for sure to stabilize the install base and going forward over the next quarters, mainly next year, take advantage from the launch, especially the MLPs products, where we are devoting most part of our investments. I think that the pipeline of products, we have is the assuring, we see that over last year we got an almost stable install base. We think that going forward, not in the short term necessarily, but our goal is definitely to stabilize that increase the install base, and we are investing the indirect part of the portfolio in my opinion, to achieve that goal. Thank you very much. 
David Katz: Thank you, David.
Operator: Your next question comes from Domenico Ghilotti of Equita. Your line is now open.
Domenico Ghilotti: Good morning. My question is related to the cost saving initiative. Let's understand how much of the cash P&L contribution you add in the first semester. And my question is related to the fact that basically for the second budget projecting a very  $2 billion is not far away from the system, but a much lower $200 million lower EBITDA or EBIT despite the higher contribution from synergies. And the follow up on this is if you see additional opportunities going forward, so for 2022. And last, based on your say or the projection, your indication for the second half, we should expect also a tough comparison. So a non sequential year on year decline in the first semester of 2022. 
Max Chiara: Hi, Domenica this is Max speaking. I'll take this one. So, as we have displayed, our Optima program in action is made up by three parts. So, there is in margin improvement action, which relates to our ability to contain cost, reorganized back offices, relocate our footprint initiatives. And this has been in full swing and motion in the first half and we have been able to kind of achieve almost 70% of those initiatives and they are up and running now going forward. The second portion is the product simplification. So we have looked into the combination of product geographies across the board. We have been able to reduce spending in certain of those and that initiative is also up and running to the tune of 70% of its potential. And it's kind of meant to stay there.  The last one, which is running a little bit behind, but it's consistent with our initial expectations is the operational excellence, because that requires the volume of new production to come up. As slowly moving forward quarter after quarter but again, until we get to full fruition of the gaming, the land base gaming demand, which as we said before, it's going to come probably towards the end of next year, is not going to get to full benefit.  So all in, we are ahead of our plan in terms of the savings, we have been able to count the hard savings on maintaining strict discipline on cost spending so far. The more dramatic supply chain reorganization benefits will come to fruition over time, and so there is a little tail that will come to fruition potentially next year. In terms of first half to second half, probably in the second half, there will be some of the supply chain constraints, generating some cost attrition, not to a significant magnitude, as we said in the last call, we're expecting something around 10 million, max 15 million this year. And we think we have enough power in our optimal program to be able to offset those incremental costs for the balance of the year. Does that respond your question?
Domenico Ghilotti: Okay, thank you.
Operator:  We'll take our last question from John DeCree of . Your line is now open.
Unidentified Analyst: Hi everyone, thank you for taking my questions. I think most of them have been answered, but maybe just one on the US sports betting landscape. I think you've mentioned in your presentation that you've got about 50 play sports books up and running in a pipeline that, you know might be over 40 potential customers. Marco's wondering if you could elaborate a little bit on our pipeline and your expectations, and maybe high level, your current thinking and outlook for your business in the US sports betting arena would be helpful?
Marco Sala : For sure, good morning. We are very positive. regarding our positivity in sports betting, we see traction in terms of the number of jurisdictions that are expected to regulate in the next years, these segment and we expect that that we can play a role in this business, as I always say we are B2B providers in this part of the business, we see an opportunity for us mainly as a supplier of turnkey solutions for local operators, where we can leverage our commercial relationship and our end to end solution, the platform and the risk management service. Just to give you a little bit of color these end to end solution provides operators who don't have existing sports betting expertise, but wanted to have their own branded sports books, you know, invest in the opportunity to be the sports betting business. And we can enable them. They're doing it. And those are the kind of the kind of customers that represent our target. We have already nine active or announced sports books across six jurisdictions Colorado, Washington State, Louisiana, and in this respect that we have 40 commercial leads that we are currently exploring. And in Nevada as I said during my prepared remarks, has been important for us powering the recently open resorts  Las Vegas. That follow what we've done with Boyd  earlier during the year. So this is the way we see this opportunity for us. I don't know if it is clear or if you want to ask something else I'm ready to answer. 
Unidentified Analyst: Yeah, that's perfect Marco. Thanks so much, and congratulations on another strong quarter. Thank you.
Operator: There are no further questions at this time, I will now turn the call over to Mr. Marco Sala, IGT CEO.
Marco Sala: Thank you for joining us today. We appreciate your interest in IGT. Q2 was another outstanding quarter from both an operating and financial perspective. In the first half of the year, we have accelerated the pace of cash generation, enabling us to return to pre pandemic leverage six months higher of schedule. With a tailwinds like attractive long term and lottery industry trends, the global gaming recovery and fast growing digital embedding businesses. We expect this positive trend to continue. We look forward to seeing you at the broker conferences this fall at our investor day in November. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.